Operator: Ladies and gentlemen, thank you everybody for holding and welcome to the Albany International Conference Call -- Second Quarter Conference. And at this time, all participants are in a listen-only mode. We will have a question-and-answer session at later time which instructions will be provided. At this time, let me go ahead and transfer your conference call to Mr. John Hobbs, Director, Investor Relations. Go ahead Mr. Hobbs.
John Hobbs: Thank you, Ernie, and good morning, everyone. As a reminder for those listening on the call, please refer to our detailed press release issued last night regarding our quarterly financial results with particular reference to the notice contained in the text of the release about our forward-looking statements and the use of certain non-GAAP financial measures and associated reconciliation to GAAP numbers. For the purpose of this conference call those statements also apply to our verbal remarks this morning where we will make statements that are forward-looking that contain a number of risks and uncertainties among which are the potential effect of the COVID-19 pandemic on our operations, the markets we serve and our financial results. For a full discussion including a reconciliation of non-GAAP measures, we may use on this call to their most comparable GAAP measures, please refer to both the earnings release as well as our SEC filings including our 10-K. Now, I turn the call over to Bill Higgins, President, Chief Executive Officer who'll provide some opening remarks. Bill?
Bill Higgins: Thank you, John, and good morning, everyone. Welcome. Thank you for joining our second quarter earnings call. On multiple fronts, Albany completed an outstanding second quarter. In this pandemic environment, we continue to operate with health and safety as our top priority. We drove continuous improvement and efficiencies throughout operations. We managed the supply chain with discipline and adaptability. We continued to do a great job for our customers with outstanding performance and on-time delivery and quality. And we delivered record gross margins and adjusted EBITDA margins in both segments. Steve and I will provide more detail, but first I want to extend my gratitude to our employees around the world. Our teams have risen to the challenge and delivered great results while keeping health and safety at the forefront of everything we do. And this pandemic is not over. Unfortunately, we have to consider the marathon which requires stamina and resiliency. I'm proud of how our teams have responded and how they continue to work together to get the job done for customers and shareholders. Make no mistake, it was a challenging quarter, and I thank every member of the team for the extra efforts. Great job on a great quarter. Last quarter I spoke at some length about our management and operational response to a global pandemic. Today, our top priority remains maintaining the health and well-being of our employees. Our COVID-19 task force continues to meet on a regular basis reviewing each location's situation, upgrading safe procedures as we learn more and sharing best practices across the company. We've been relentless to ensure a safe working environment and cannot become complacent, particularly since a number of communities where our plants are located have become recent hotspots. I'm extremely proud of the Albany team and the outstanding operational and financial performance in the second quarter. We reported GAAP EPS of $1 per share this quarter, down 5% from last year's second quarter. Our adjusted EPS of $1.09 was unchanged from last year's results. This is commendable considering a significantly lower revenue from the LEAP program during Q2 and the challenges of COVID-19. Improved operational performance across our Machine Clothing and Engineered Composites business played an important role in mitigating the impact from the lower LEAP revenues in the quarter. In the Machine Clothing segment, we have a seasoned leadership team and workforce that has demonstrated time and again, it knows how to manage in a tough marketplace. They simply hit it out of the park this quarter. Gross margin and adjusted EBITDA margin expanded 270 basis points and 460 basis points respectively. As a result, adjusted EBITDA grew $6.5 million or 11.5% on flat revenue to a record adjusted EBITDA margin of 41%, simply a great performance. This segment's stellar performance benefited from our strategy to be the preeminent leader in machine clothing globally, which is built on years of investment in new technology, global repositioning of our factories and a focus on higher-growth value-added markets such as tissue and packaging. We take advantage of our global footprint to serve customers locally. We continue to invest to develop a best-in-industry product portfolio and back it up with technical sales and service support. And we work hard to apply lean and continuous improvement tools to improve capacity utilization and operational efficiency. While the overall market has been challenging in terms of top line growth, our market positioning, technology leadership and product improvements are focused on delivering value to our customers so they can improve their plant efficiencies. In response to the long-term decline in publication grade, we've made special investments in packaging and tissue technology. Packaging and tissue have a higher long-term growth prospects and now comprise almost 60% of our revenue, while publication grades have declined to less than 20%. We expect long-term erosion in the printing and writing paper markets, not only continue, but to be accelerated by the COVID pandemic and the accompanying shift to digital media and video conferencing. While we still expect long-term GDP-driven market growth in non-publication grades, we're starting to see COVID effective changes in order flows from our customers in different regions of the world. On a positive note, Chinese order activity is on the upswing after weakness earlier in the year as China has rebounded. On the other hand in the rest of the world including the rest of Asia, Europe and the Americas, we've seen orders slowing down. Some customers who've placed incremental orders in the early days of the pandemic as a risk mitigation to ensure their supply chain continuity have pushed those orders to the right. And combined with a sharp contraction and economic activity we've witnessed globally, we expect top line headwinds during the second half of 2020 and into 2021 for the Machine Clothing segment. Additionally, we expect to see pressure on margins driven by lower volumes and mix shifts away from some of our higher-margin markets. Our Engineered Composites segment also performed exceptionally well, particularly in driving profit to the bottom line despite managing through COVID-19 challenges and the ongoing temporary closures of our LEAP production facilities, which accounted for the majority of our year-over-year sales decline. Last quarter we discussed the strength and resiliency of our military and defense programs. We're on good solid military programs which now make up over one-third of our annual revenue in the Engineered Composites segment. Here we continue to invest to improve our technology products and operation. We achieved record levels of on-time delivery performance this quarter. And based on our growing reputation for reliability in terms of quality, service and delivery, we continue to pursue additional work with these key customers to grow this portion of our business. As reported earlier this year, we have increased our work scope on the F-35 program which is even more encouraging long term as Japan is set to acquire over 100 F-35s. The commercial aerospace industry has been hit hard by the COVID pandemic. As you'll recall, earlier this year, we announced the temporary closure of all three of our LEAP production facilities in New Hampshire, Mexico and France due to the Boeing 737 MAX and Airbus A320neo production delays and reductions. We've also had to undertake a reduction in force, primarily at those three LEAP facilities, but also including other SG&A and personnel -- production personnel. While regrettable this move is required to balance our workforce with our expected revenue as the market recovers. Third quarter should see the gradual resumption of LEAP production operations at these facilities. We've continued to work very closely with Safran to assure a safe and efficient restart to production. During the third quarter, we'll start to see the impact of Boeing's announced cuts on 787 production. We expect our production rate of 787 components in the back half of the year to be about 50% of the rate at which we were producing in the first half of the year. Longer term, we're happy to announce that we've been awarded a contract to expand our production of 787 fuselage frames and begin -- and expect to begin producing 787 aft section fuselage frames, beginning in late 2021. This new business is further evidence of the great work our teams are doing, serving our commercial aerospace customers with complex composite components. Now let me make a few comments about our priorities going forward. First, our top priority will be the safety and well being of our employees. Second, we'll continue to drive operational improvements to achieve efficiencies within our plants and to deliver great service to our customers. And third, we're maintaining our focus on new product and technology development. The changes this pandemic will bring will create new opportunities for our customers and for our products and technologies, such as next-generation material belts for tissue production and advanced 3D woven composites for commercial and military aerospace applications. We have a solid balance sheet and plan to continue to use it to invest in promising new technologies, processes and products that will benefit our customers and add value for our shareholders. And now, Stephen will provide more detail on the quarter and outlook. Stephen?
Stephen Nolan: Thank you, Bill, and good morning to everyone. I'll talk first about the results for the quarter and then about our revised outlook for our business for the balance of the year. For the second quarter, total company net sales were $226 million a decrease of 17.5% compared to the $273.9 million delivered in the same quarter last year. Adjusting for currency translation effects, net sales declined by 16.9% year-over-year in the quarter. In Machine Clothing, also adjusting for currency translation effects, net sales were flat year-over-year, with growth in tissue, pulp and packaging grades almost completely offset by declines in publication grades and in engineered fabrics.  Engineered Composites net sales, again after adjusting for currency translation effects, declined by 39%, primarily caused by significant reductions in LEAP and GE9X program revenue, partially offset by growth on the F-35 and CH-53K platforms and the acquisition of CirComp. Second quarter gross profit for the company was $103 million, a reduction of 2.1% from the comparable period last year. The overall gross margin increased by 720 basis points from 38.4% to 45.6% of net sales. Within the MC segment, gross margin improved from 51.8% to 54.5% of net sales, principally due to foreign exchange impact, mix and efficiency gains and reduced depreciation expense. Within AEC, the gross margin improved from 20.9% to 26.7% of net sales, driven by a favorable mix in program revenues and the net favorable change in the estimated profitability of long-term contracts of over $7 million this year, compared to $5 million in the second quarter of 2019. Second quarter selling, technical, general and research expenses declined from $50 million in the prior year quarter, to $47.4 million in the current quarter, but increased as a percentage of net sales from 18.3% to 21%. The reduction in the amount of expense was driven primarily by lower travel expenses, partially offset by a higher expense for revaluation of non-functional currency assets and liabilities in the most recent quarter. Total operating income for the company was $52.7 million, down from $54.2 million in the prior year quarter. Machine Clothing operating income increased by $7 million, driven by higher gross profit and lower STG&R expense, while AEC operating income fell by $9.4 million, caused by lower gross profit and higher restructuring and STG&R expenses. Other income expense in the quarter netted to an expense of $1.1 million, compared to an expense of $0.9 million in the same period last year. The income tax rate for the quarter was 32.1%, compared to 29.6% in the same period last year. The higher rate in 2020 was primarily caused by the generation of a higher share of our global profits in jurisdictions with higher tax rates. Net income attributable to the company for the quarter was $32.4 million, a reduction of 5% from $34.1 million last year. The reduction was driven by the lower operating income and the higher tax rate. Earnings per share was $1 even in this quarter, compared to $1.05 last year. After adjusting for the impact of foreign currency revaluation gains and losses, restructuring expenses and expenses associated with the CirComp acquisition and integration, adjusted earnings per share was $1.09 in the second quarter of each year. Adjusted EBITDA grew 1.7% from last year to $73.7 million for the most recent quarter. Machine Clothing adjusted EBITDA was $62.9 million or 41% of net sales this year, up from $56.4 million or 36.4% of net sales in the prior year quarter. AEC adjusted EBITDA was $22.8 million or 31.4% of net sales, down from last year's $28.6 million or 24% of net sales. Turning to our debt position. Total debt, which consists of amounts reported on our balance sheet as long-term debt or current maturities of long-term debt, declined from $491 million at the end of Q1, 2020, to $435 million at the end of Q2, 2020, while cash declined by about $19 million during the quarter, resulting in a reduction in net debt of about $37 million. Under the definition of leverage ratio used in our credit agreement, which limits us to $65 million of cash netting against gross debt, we finished the quarter with a leverage ratio of 1.48, down from 1.69 at the end of Q1, both well under the cap of 3.5 allowed for under the credit agreement. Disregarding the limitation on cash netting, results in an absolute leverage ratio of 0.95, down from 1.09 at the end of Q1. The reduction in total debt during the quarter was principally caused by the repayment of the $50 million that we had drawn down on our credit facility near the end of Q1. The reduction in net debt was principally caused by strong operating cash flow in both segments. I would like to note that, in Engineered Composites, while we shipped very little product on the LEAP program during the quarter, due to the ongoing shutdown of our three LEAP facilities. We did collect during the quarter payments for some deliveries made in Q1. Those cash collections will not be repeated in Q3. Capital expenditures in Q2, 2020 were about $8 million, down from almost $15 million in the same period last year, due principally to reduction of capital expenditures on the LEAP program and lower capital expenditures in the Machine Clothing segment. Looking forward to the balance of 2020, we now believe that we have sufficient insight into our expected performance to reinstate financial guidance. Despite the ongoing pandemic, our reinstated profit guidance compares favourably to our original subsequently withdrawn guidance. In the Machine Clothing segment, we have witnessed a reversal of the strong order position, we called out last quarter. After Q1, we had noted that orders were up over 3% from the prior year, while during Q2 orders were down about 7%, compared to Q2 of 2019. And on a year-to-date basis orders are down almost 2% compared to the first half of 2019. While publication grades which represented less than 18% of our revenue in the most recent quarter continue to show the greatest declines, we also saw year-over-year declines in orders for packaging grades and engineered fabrics during the quarter. This is not unexpected. Sales of publication end products have seen due partially to the effect of the current work-from-home environment, an acceleration of the multiyear decline in that market sector, while packaging grade and engineered fabrics, are two sectors we serve which are susceptible to the impact of changing macroeconomic conditions. As we have also pointed out before, there is typically a lag effect of a few quarters driven by the replenishment cycle for our products, between downturns in those end product markets and the impact on our business. This has been borne out by recent results. Notwithstanding, the macroeconomic downturn that is accompanied the current pandemic, the Machine Clothing segment's Q1 and Q2 revenue performance was strong. However we expect the recent trend, in low orders to manifest itself in lower Machine Clothing revenues in Q3 and Q4, both on a sequential and a year-over-year basis and ultimately into 2021. For the full year 2020, we are now guiding segment revenues of $545 million to $555 million. From a margin perspective, in Machine Clothing, while we continue to see a very competitive market, we also enjoyed during the quarter the benefits of the very favorable mix of business and a very favorable exchange rate. However, we are beginning to see signs of relative weakness in some of those markets with stronger profit margins. And over the last few months, we did see some signs of recovery in certain exchange rate, most notably, the Mexican peso and Brazilian real where the weakness of those currencies has benefited our bottom-line. As a result of those effects, and lower fixed manufacturing cost absorption, we expect the segment gross margins to return closer to a 50% level during the balance of the year, down from the mid-50s we delivered during the first half of the year. We also expect that the impact of absorbing fixed SG&A expenses over a lower revenue base will cause additional compression of EBITDA margins in the back half of the year. For the full year, we are now guiding, segment adjusted EBITDA of $190 million to $200 million. Turning to Engineered Composites as expected, second quarter revenue was challenging, despite the impact of adjustments to long-term contract profitability, which generated not only additional profit but also some additional revenue. The reduction in revenue in the quarter was primarily caused by the Albany-Safran, LEAP program which generated only $15 million of revenue in Q2, compared to almost $60 million in Q2 2019. During the recent quarter, we did to meet customer demand partially opened one of our three ASC LEAP facilities, for a few weeks. However, all three of those production facilities, in New Hampshire Mexico and France were closed, during the bulk of the quarter and remain closed today, due to depressed demand caused by the ongoing Boeing 737 MAX situation. And a lower rate of production by Airbus, of the A320neo family. While we will see a staged reopening of those facilities in Q3, we do not expect materially different revenue from the ASC LEAP program in Q3 compared to Q2. For the full year we now expect the ASC LEAP program to generate less than $100 million in revenue. And we also expect it to be several years, before demand for our LEAP component approaches the level, we witnessed in 2019. At our Salt Lake City facility, we will also see in Q3, Q4 and beyond, an impact from Boeing's reduction in the build rate for the 787 program and from ongoing weakness in demand for both, new build and aftermarket wastewater tanks. The win of additional content in the 787 that Bill referenced, will not begin to deliver revenue for us, until very late in 2021 or early 2022. From a positive perspective, we do expect our Defense programs, which represented over 45% of our Q2 revenues to continue to perform well, this year and into next. At the AEC segment level overall, we expect at best modest sequential revenue improvement in Q3 with some further recovery in Q4. For the full year, we are now guiding segment revenues of $325 million to $335 million. From a, profitability perspective, as already noted, Engineered Composites benefited from an extremely high level of net favorable adjustments to estimated long-term contract profitability in the quarter. This net adjustment was driven partially by the closeout of a multiyear project. And by a reduction in the loss reserves for certain programs. Those portions of the adjustment will not lead to improved future performance on other ongoing programs. For the full year we are now guiding segment adjusted EBITDA of $75 million to $85 million. Turning to the company level, our reinstituted tax guidance has increased, from the initial guidance provided earlier in the year caused by three factors. First, in Q1 we recognized a significant loss on the revaluation of non-functional currency balances, which occurred in a jurisdiction where we are not recording the potential benefit of loss carryforwards. Second, we are recognizing ongoing losses, driven by operational performance and interest on intercompany loans in the same jurisdiction and these losses are similarly nondeductible. And third, we are now generating a somewhat larger share of our global profit in jurisdictions where the tax rate is higher than the average rate we initially projected. Turning to the balance sheet. We feel very good about our net debt position and the improvements we have demonstrated in the most recent quarter. Based on market needs where the pace of program development and projected build rates dictate a lower level of investment in growth-oriented projects this year, we are further trimming our capital expenditure forecast for the year to a range of $45 million to $55 million. Of the remaining investment this year, about $20 million is for sustaining investments when -- while the balance is for return-seeking investments. In future years, we would expect to spend more on return-seeking investments as end markets recover, but we also will likely see sustaining investments rise in the future as growth oriented capital improvements made over the last five to 10 years require refurbishment or replacement. As I mentioned last quarter, we expect to generate significant free cash flow this year. This quarter's results pour out the cash generating strength of our business with over $40 million of positive free cash flow over 25% higher than our net income for the quarter. At the total company level, we are reinstating 2020 guidance as follows; revenue of between $870 million and $890 million, compared to original guidance of $970 million to $1.01 billion; adjusted EBITDA of between $220 million and $235 million, compared to original guidance of $210 million to $235 million; effective income tax rate of 36% to 38%, compared to original guidance of 26% to 28%; depreciation and amortization of between $70 million and $75 million in line with original guidance; capital expenditures in the range of $45 million to $55 million, compared to original guidance of $75 million to $85 million; GAAP earnings per share of between $2.26 and $2.51, compared to original guidance of $2.68 and $3.08; and adjusted earnings per share of between $2.85 and $3.10 compared to original guidance of $2.75 and $3.15. I'd like to point out that there is some additional unusual risk related to our revenue forecast for the balance of the year. While we have, obviously, incorporate in our forecast what we do know about the ongoing pandemic any additional macroeconomic shocks from the crisis could lead to further reductions in demand for our products. There are also risks to our operation. While at any point in time, we've seen an impact to our operations from the pandemic in terms of workers being out sick or self-quarantining at home, all of our principal Machine Clothing facilities are currently operational as are our non-ASC facilities and Engineered Composites. However, several of our facilities across both segments are located in areas where the number of detected COVID-19 cases continues to rise increasing the risk that there could be more significant operational impact in the future. Returning to the present, it was a very strong quarter with both segments performing at a high level despite the ongoing pandemic and the resulting impact on our end market. I'd also like to note that as will be described in more detail in our 10-Q during the quarter, we performed our standard annual impairment test of goodwill and determined that no impairment provision was warranted. With that I, would like to open the call for questions. Ernie, over to you.
Operator: Thank you everybody. And, yes, let’s start a question-and-answer session here. [Operator Instructions] We have a question from Caitlin Dullanty. Please go ahead.
Caitlin Dullanty: Good morning, guys. Given the structural downturn and the significant headwinds that we are all seeing in the entire industry and commercial aerospace is facing possibly for the next several years, is there any change to how you are thinking about the growth strategy or the trajectory for AEC? Do you plan to shift? What type of programs or new business do you pursue? Or is there any change in your thinking there?
Bill Higgins: Yes, Good morning Caitlin and thanks for the question. It is a challenging time. And of course, we're looking at the strategy. We have a fundamental belief in the benefits that we can bring with our advanced materials and how we apply them. So the question is, where are the end markets, which end market's going to be the higher growth market going forward, where can we add benefit for our customers. So yes, we're continuing to look at our strategy, our technology and our product development. And with the strength of our balance sheet, we're going to continue to develop new materials and work on programs for the future. So in commercial aerospace, it will take longer to get there with new aircraft and new platforms coming online. We're also pursuing military and defense side, as well as we develop what we can be the next generation. I believe we can be the next generation of advanced composites.
Caitlin Dullanty: Okay. Thank you. That's helpful. And then, just going back to MC a little bit. Can you talk about and provide a little bit more color on the demand environment, how it played out over the quarter specifically across the end market? Did you see any tailwind in tissue demand? And is there going to be destocking trends? Is that kind of what you're talking about? Just looking for a little bit more color into the trends that you mentioned.
Bill Higgins: Yes. I can add color and then if Stephen wants he can add some commentary. We're seeing, what's the mix picture. If I start with tissue, tissue in general has been good and particularly the at-home business, but as you know the away-from-home business where people aren't going into offices and buildings and schools so far that business has been slow. We serve both markets. In fact, across the end markets, we serve all of them. So if things shift from one market to another, we can benefit from that. But the away-from-home market for tissue obviously hasn't been as strong as the at-home market which has been very strong. Around the world, it's a different -- things are behaving differently I would say. Publication is hurting. As you can imagine, the acceleration with video conferencing media as we mentioned, publication is going down strong very similar we think so far to what we saw in 2009 in publication. It's just an acceleration of a downturn and we'll see where that settles out. We're watching with all of our customers the machine time how -- if machines are going down, how longer down for closures. We are seeing kind of a different pace in Europe versus Americas versus China. Packaging has slowed down in some places. In China, China has gone through a change where they were slow earlier in the year, but that's picked up a little bit. So we see a little bit more strength in China than in the rest of the world. But it's a mixed picture. And we did I think see orders start to fall off in the middle of the quarter, so we're watching as we go through the end of this quarter into Q3. Steve, I don't know if you want to add to that yes.
Operator: Thank you. And our next question comes from Gautam Khanna. Please go ahead.
Dan Flick: Yes, hey guys. This is Dan on for Gautam. Thanks for the question. So first, I was wondering if you could shed some light on what programs are driving EACs at AEC. And I'm guessing it's mostly defense if not all defense programs. Is that true?
Bill Higgins: Sure. Stephen, do you want to take that one? Stephen you may be on mute.
Stephen Nolan: Can you hear me now?
A - Bill Higgins:   Yes. Yes we can.
Stephen Nolan: Sorry. I hadn't -- it was a variety of programs down across all of our operations in AEC. It was not just defense programs, although defense programs is a portion of it. It was actually both a mix of commercial and defense programs. So, we're not going to get down into the program level at detail on any specific programs, but it was several programs not just one or two.
Dan Flick:  Okay. Understood. That's good to know. And then, are you guys able to quantify in any fashion the additional content on the new 787 agreement?
Stephen Nolan: At this stage, we're -- yes we're not in a position to disclose the revenue from those parts. We've disclosed before that we were generating a few hundred thousand dollars per shipset from the forward fuselage frames. We add to that now some significant content in the aft fuselage, but I can't give you a new dollar number.
Dan Flick: Okay. Yes, that's fair. Sorry just one more then. What -- so what's the process for when the LEAP facilities come back online as far as like hiring and retraining goes? And then, I know it's going to be a slow ramp-up, but kind of what's the lead time on getting those processes back to up to speed and working efficiently again?
Bill Higgins: Yes. I'd take that one. The LEAP three facilities were temporarily closed. We did have one facility come up for a short period of time to manufacture a specific product line last – in the last month and that was a great learning experience for us on how to restart – how to restart effectively and it went very, very well. So the employees that are running those processes the technical know-how all those folks are on furlough. So some of them may come into the plant now and then depending upon their role. But we have a plan to ramp up some of it in this quarter and the rest of it in the beginning of probably September, October time frame. So we feel like we have a good manufacturing process to restart. We don't expect there to be a large learning curve. And as you can imagine the volumes aren't high volumes like we were running at last year. So – but we feel like we're in a good pretty good place to start back up and looking forward to it.
Unidentified Analyst: Okay. Thanks very much.
Operator: Thank you. And our next question comes from John Franzreb.
John Franzreb: [Technical Difficult]
Bill Higgins: John we're getting a lot of background noise. I couldn't understand the question something about packages.
John Franzreb: Yes what I'm looking for is your thoughts are on the office back-to-school market as we head into the – whether those things could be sizably weaker than [Technical Difficulty]
Bill Higgins: Yes maybe just a bit of color there. I mean they've already been very weak, so we've seen an order decline in publication that started earlier in the year with just a slowdown everywhere. So we don't expect that to get better soon if that's your question.
Stephen Nolan: So John, yes in Q1 publication orders were down effectively double-digit year-over-year. We saw a repeat where they were well into the double-digit decline in Q2. Some of that could be exacerbated as we get back into the fall as we get a return to school. We really don't have full insight into that yet but our expectations are for a continued decline of the publication markets throughout the balance of the year.
John Franzreb: Okay. And one paper company I was talking to yesterday had a sizable margin benefit – government-sponsored programs [Technical Difficulty]?
Bill Higgins: We lost you at the tail end of that John but I think you're asking about government-sponsored programs and if we had received any benefit.
John Franzreb: Yes
Bill Higgins: I'm not aware that we have. As you know on the aerospace side, the French has offered a package that I think will benefit aerospace companies in France. But we haven't seen anything on the MC side so nothing I'm aware of no.
John Franzreb: Okay. I guess one last question if you can understand me. Just on the convergence from white paper to packaging paper, are you seeing any acceleration in your customer base on conversions of equipment?
Bill Higgins: We're watching for the conversions of equipment. As you probably know it's very expensive and time-consuming to convert machines from one grade to another. And then you have to look at what the capability of the machines are, the size of the machines the width of the machines as well as, whether they're using virgin pulp or recycled pulp depending on what they're making a white paper or something with recycled paper. So we're watching that. It's very expensive and it takes time. So it probably will happen out there but it's not easy to do.
John Franzreb: Okay. Thanks, guys. Sorry about the connection.
Operator: At this time we don't have any more questions. [Operator Instructions] Gentlemen, at this time we have no questions.
Bill Higgins: Thank you, Ernie and I'll make some closing remarks. I'd like to thank everyone for joining us on the call. We appreciate your continued interest in Albany International. As we noted earlier, these are challenging times and this pandemic is not over. We like to think of it as a marathon, where we all need to find our own stamina to remain diligent and demonstrate safe behaviors whether at work or at home or in our communities. I hope that all of you and your families are healthy and safe. And I'd like to conclude today's call by recognizing the entire Albany team for another strong quarter of performance in a challenging environment and thank them for their continued focus on health and safety. Thank you everybody.
Operator: And this concludes our conference for today. Thank you everybody for joining and for using AT&T Teleconference. Have a great day.